Operator: Ladies and gentlemen, thank you for standing by and welcome to the GrafTech Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator instructions) I would now like to turn the conference over to Kelly Taylor. You may begin.
Kelly Taylor: Thank you, Paula. Good morning and welcome to GrafTech International third quarter conference call. On the call today is GrafTech’s Chief Executive Officer, Joel Hawthorne; and its Chief Financial Officer, Erick Asmussen. We issued our earnings release this morning. If you didn’t receive a copy, please contact Marie Noar at 216-675-2160 and she’ll be happy to fax or email a copy to you. As a reminder, some of the matters discussed during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Please note the cautionary language about our forward-looking statements contained in our press release. That same language applies to this call. Also, to the extent that we discuss any non-GAAP financial measures, you will find reconciliations in our press release that is posted on our website at www.graftech.com in the Investor Relations section. In particular, on this call we will be discussing for the periods reported the non-GAAP financial items of EBITDA and adjusted operating income. For your reference, a replay of the call will be available on our website. At this time, I’d like to turn the call over to Joel.
Joel Hawthorne: Thanks, Kelly. Good morning everyone and thank you for joining the GrafTech call today. This morning I’ll review our third quarter results, provide an update on the more than $120 million of cost savings initiatives that we have announced and launched [ph] over the past year. Additionally, I’ll provide an update on our balance sheet, our current outlook and the 2015 book building process. Then at the end of the call we’ll open up to any questions. Looking at Q3, company sales were $260 million down about 14% from Q3 2013. We reported a loss of $35 million, largely as a result of special charges associated with our previously announced rationalization initiatives. Excluding these one-time charges, we reported a loss of $13 million or $0.09 per share. EBITDA which excludes the special charges came in at $24 million. Operating cash flow for the quarter was $27 million and net debt was $530 million, a $10 million reduction from year end 2013. GrafTech is operating in a very challenging environment and we continue to feel the impact of those global headwinds in our markets and in our financial results. We’re working diligently to control the things we have power to control. I’ll get in to more of that regarding the extensive cost containment efforts we are executing on. But to put it in perspective, since October of last year, GrafTech has identified over 120 million of total annual cost savings approximately $100 of which are cash savings. Further, we are already making substantial progress in turning those savings into reality. And our 2014 results include approximately $45 million of cash savings benefits. Now let me turn to our segments results. In our industrial material segment, sales declined 11% to $209 million in the third quarter compared to the prior year quarter, mainly due to lower realized graphite electrode pricing and weaker graphite electrode shipments outside of United States. We continue to face the challenging operating environment in industrial materials. As we reported in our September release, the demand for graphite electrodes in the United States has been solid. However, that demand has not been strong enough to fully offset weakening demand in other regions. Overall, we saw a 5% volume decline compared to the prior year quarter. As reported in the September release, we will see a 5% to 10% of our graphite electrode shipments for the second half of 2014 being delayed into 2015. This will result in reduced graphite electrode production rates in our fourth quarter. Because of our industrial material rationalization announcement last year, we will still run a graphite electrode facilities at high operating rates. Slightly above 85% in 4Q in Seadrift needle coke facility at over 90%, essentially full capacity in the fourth quarter even in spite of this recent demand adjustments. Also, as reported in our July release and conference call, Seadrift experienced an unplanned outage in July lasting approximately three weeks while there is no disruption to customer orders or shipments as we have maintained a good inventory position in connection with an earlier planned shut down for our regular five-year maintenance in 2Q. Our cost in the third quarter for 2014 were negatively impacted approximately $2 million due to this outage. Adjusting operating income for this segment was $2 million, excluding the one-time cost associated with the Seadrift outage. Adjusted operating income was $4 million or 2% of sales, essentially flat year-over-year if you exclude the Seadrift outage adjustment. Our previously announced rationalization initiatives in industrial materials are complete. We are on track to realize the 50 million of cost savings we expected this year and the incremental $25 million expected next year, for the total of $75 million in annual savings. These initiatives will significantly improve GrafTech’s competitiveness by reducing manufacturing cost, increasing operating efficiencies and positioning us to capitalize on a recovering demand for our products. Importantly, these initiatives are the reason that GrafTech maintains flat year-over-year adjusted segment operating income despite an 8% drop in graphite electrode pricing in weakening regional demand I discussed earlier. Now let me turn to our engineered solutions segment. As announced in September, the financial results of our engineered solutions segment for the second half of this year are being negatively impacted by a slowdown in demand for our advanced consumer electronics products. This slowdown is largely due to lower than expected demand from one of our customer’s consumer electronic product programs. We have strong customer relationships in advanced consumer electronics market. We continue to diversify our customer base and product offerings into this end market. Of the top 10 advanced consumer electronic vendors for smart phones we have provided product solutions to everyone in the past. We will continue to innovate and provide thermal management solutions into next generation electronics programs. In addition, earlier this month, one of our customers of our advanced graphite material business unexpectedly filed for bankruptcy. This resulted in a $5 million charge in third quarter of 2014 related to accounts receivable and inventory. This is a disappointing development. Currently, we’ll continue to monitor the developments in the bankruptcy reorganization proceedings and make adjustments accordingly. We will continue to evaluate the impact of developments and reorganization plans for the customer’s visits as well as our own initiatives on future business plans for high-temperature furnace systems related to sapphire for consumer electronics. We continue to collaborate with our customers on other high-temperature products applications that are in the marketplace. For the third quarter, sales of our engineered solutions segment decreased 26% to $52 million compared to the prior year period, mainly due as I mentioned above, reduced sales of our advanced consumer electronic products. Adjusted operating loss excluding the impacts of the customer bankruptcy and of rationalization-related charges was $2 million which was better than expected due to aggressive cost containment. While the Street event such as the weak product launch by an end customer and an unexpected bankruptcy of another have significantly affected our 2014 expectations for engineered solutions, we continue to believe that this segment will be an important contributor to shareholder value creation. We are fully committed to returning this segment to profitability. It is a priority for me, and we are taking actions to improve its performance. Turning to our cost savings actions. We continue our relentless focus on creating a more streamlined business model with greater accountability and cost efficiency. This will allow us to compete better in the global marketplace and best position GrafTech to drive innovation for future success. On September 23rd we announced that we concluded another phase of our ongoing cost savings assessments. We’ve identified an incremental $30 million in cost saving actions designed to streamline, simplify and decentralize the organization. We believe that these enhancements will allow GrafTech to work more closely with its customers, drive greater accountability at the local level and respond even more efficiently to changing market dynamics. These initiatives include additional right-sizing initiatives to reduce cost and create a high level of business ownership at the local level. Actions included a combination of reduced contractor cost, attrition, early retirements and lay off as well as redesign of our research development function. The R&D redesign will place greater emphasis on driving innovation to support new product development. Building on GrafTech’s 128-year heritage, we’ll transform our R&D capabilities into a technology and innovation center focused on commercializing next-generation technologies in carbon graphite material science. In conjunction with the organizational improvements identified, we will downsize our corporate functions by 25% and relocate the smaller, more cost-effective corporate headquarters within Northeast Ohio. These actions are expected to generate annualized, recurring cost savings of approximately $30 million. Approximately, 75% of which, these will be reflected in the overhead expenses and the remainder in the cost of goods sold. The majority of these savings are expected to be realized in 2015. We expect to incur approximately $20 million of charges related to this initiative, $8 million of which were incurred in the third quarter of 2014. We also expect to disperse the majority of the estimated $12 million of cash expenditures related to these actions in 2015. These new initiatives build on the two previously announced initiatives. Let me just summarize. First, we achieved savings of $75 million from the industrial materials rationalization that was announced on October 2013. This included a closure at highest cost graphite electrode plants, a machine shop in Russia and reductions in corporate and industrial materials overhead. This resulted in 20% reduction of our global workforce at that time. These actions were completed at the end of the third quarter this year and as mentioned earlier have contributed $50 million in savings in 2014. Second, we generated an additional $18 million in savings by streamlining our product offering and engineered solutions segment. This was announced at the end of 2Q for the isomolded product line that we exited. Including the $30 million in cost savings announced here in September of 2014, the annual cost savings GrafTech has identified and is executing on total over $120 million. Approximately, $100 million of which are cash savings directly improving EBITDA. In 2014, as discussed we expect $50 million of savings of which approximately $45 million are cash savings benefiting 2014 EBITDA results. While it’s always difficult to make decisions that impact your teammates, these actions are designed to make GrafTech a more competitive global company that is better positioned to drive growth and innovation and respond more quickly to customer demands. Turning to our balance sheet, our financial position remains solid. Our debt-to-capital ratio at the end of Q3 was 33%. However, due to lower EBITDA over the past year, our debt-to-EBITDA ratio is 4.6 times, higher than our targeted level. We are focused on driving free cash flow and lowering our debt-to-EBITDA ratio to our target of less than 3 times. We made solid progress against our goal of reducing working capital. In the nine months ended September 30th, we reduced working capital by nearly $50 million. We expected to continue to decrease working capital requirements as we reduce inventory levels in the fourth quarter and next year, providing additional liquidity as we close the year and move into 2015. In addition to lowering working capital, we expect to be able to meaningfully reduce our capital expenditures in 2015. As we’ve launched and completed several plan larger than normal maintenance projects are in 2014. With those actions behind us, our maintenance cap requirement is approximately $60 million to $70 million. As the end of Q3, we have approximately $340 million of availability on our revolving credit facility of which we have utilized $60 million. This leaves us with approximately $280 million of availability remaining. This facility does not mature until April of 2019. We continually evaluate all opportunities to ensure that maintain adequate liquidity and a solid capital structure as we move into 2015. Let me turn to our outlook. In its October report, the International Monetary Fund reduced its estimate for 2014 global GDP growth to 3.3%, 0.4 percentage point lower than its April forecast. The report states that downside risk to the global economy recovery has increased due to geo-political uncertainty and volatility in the financial markets. All our recoveries in certain developed countries including the United States have been stronger than previously expected. The slowdown in emerging economies has contributed to lower global growth projection. The impact on steel according to the World Fuel Association 2014 global fuel production excluding China increased only 2% to the end of September 2014. In Q3, global fuel production excluding China increased 1.9% on a year-over-year basis. However, steel production in September excluding China on a year-over-year basis was negative. While North American steel production operating rates continue to show improvements in the third quarter 2014 and September, the European Union reported lower steel production year-over-year in the month of September by almost 2%, reversing prior growth trends. Other major steel-producing countries that show negative growth trends in September included Brazil, down 3.8%; South Africa, down 3.1%; and Turkey, down 3.1%. This decrease in production led to reduced graphite electrode demand and inventory adjustments including delayed shipments of our graphite electrodes. We continue to watch indicators of non-residential construction as it is the key driver for growth in EAF production. While we are seeing positive indicators in the United States, ABI, Architectural Billing Index and customer sentiment, the timing of the recovery in the rest of the world remains uncertain. As we have said many times, this is a key sector to watch on a global basis, for EAF productions and the resulting change in electrode demand. Let me give a little color on the status of our 2015 order book. We are in the very early stages in the book-building process for both needle coke and graphite electrodes. We have had discussions with our global customer base and informed our customers that we are seeking a 10% price increase for graphite electrodes next year in order to better align prices and cost following the significant price reductions we’ve seen the last couple of years in price. As we’ve discussed previously, graphite electrode and needle coke prices are determined based on global demand and supply, capacity utilization and raw material cost changes. We continue to assess the demand environment for global steel customers which has become more volatile than we’d like as we’re building our 2015 order book. Additionally, we continue to assess trends in oil prices and other input cost to determine what impact that will have our graphite electrodes and needle coke in 2015. There have been a few small confirmed orders to date, so it is too early to comment on pricing indications at this point in the book building process. We continue to balance price, volume, equation to maximize profitability into 2015. Our strategy to maximize profitability remains to differentiate and sell the value of our product offerings dependent on the segment or specific product application. Our value equation is based on superior product quality, performance, delivery, reliability and customer technical service. We believe that we offer one of the best value equations in the industry, backed by what we believe is the lowest cash cost structure among our peers. GrafTech is driven to maintain its sustainable differentiated business model. We are focused on innovating new products and processes and providing exceptional value to our customers. We are committed to the highest levels of quality, reliability, and service. Our resolve to maintain a differentiated, low-cost business model that effectively and efficiently – that performs through all market environments is unwavering. To summarize, we continue to face a challenging and volatile operating environment in both our engineered solutions and industrial material segments. We remain focused on our operations, on thins we could control. This include, execution of the remaining $55 million of EBITDA, enhanced cost savings initiatives, providing our customers with superior service and quality as we balance share, volume, price, economics, driving innovation in our ES segment to meet evolving customer needs and market opportunities. In addition, the lever in our balance sheet remains – deleveraging our balance sheet remains a priority for our company. And we continue to reduce inventories, capital expenditures to achieve that goal. We are targeting $70 million working capital reductions in 2014 and fourth quarter capital expenditures should begin to reflect the maintenance levels we see going forward. We also continually look at means to enhance our liquidity and believe there are many options available to us to enhance both our near and long-term liquidity requirements. As we stated in our September release and as a result of the uncertainty that exist in our end markets today, we are in the process of reevaluating the guidance practice going forward and plan to provide more detail during our fourth quarter call early next year. The GrafTech Board, the management team, our global employees are committed to restoring and growing value for our shareholders by leveraging the backward integration, low cost, differentiated business model and executing on our strategy by commercializing advanced product solutions. I continue to believe that GrafTech is well-positioned as one of the best carbon and graphite material science companies in the world. And we are committed to improving performance in the short-term as well as long-term. That concludes my prepared remarks. And Paula, I would now like to open the call up for questions.
Operator: (Operator instructions) Your first question comes from the line of Luke Folta of Jefferies.
Luke Folta – Jefferies: Good morning, Joel.
Joel Hawthorne: Good morning, Luke.
Luke Folta – Jefferies: Question on the cost cuts. A lot of numbers are provided. If I want to look at the third quarter industrial materials’ performance as sort of the baseline to think about the impact of cost cuts you’ve already realized and then those that are still forthcoming, I guess of the $45 million, sorry, of the $50 million of total cost savings that you’ve realized, how much of that is in IM?
Joel Hawthorne: The vast majority of it is in IM, Luke.
Luke Folta – Jefferies: Okay. And that’s going to be reflected in the third quarter performance?
Joel Hawthorne: Yes. It’s at the rationalization that we started last year, those cost benefits there. The only impact you’ll see is again inventory flow. The cost savings are there obviously on an ongoing basis, but you still do some inventory flow of higher cost materials you’ve seen in Q3.
Luke Folta – Jefferies: Okay. How big of a headwind would you say that was for you?
Joel Hawthorne: We can’t disclose how big of headwind it was, but it will obviously help a little bit as we move into Q4 as that inventory now has a system.
Luke Folta – Jefferies: Okay. And the results for the third that I think it’s $2.4 million or so of operating profit, that’s to sort of adjust for the outage, we would add $2 million back to that or the Seadrift outage in the quarter, is that right?
Joel Hawthorne: Correct. Yes.
Luke Folta – Jefferies: Okay. All right. And then in terms of additional cost cuts that have been announced but are not yet realized, in IM, what would that impact be from here?
Joel Hawthorne: In IM, of the $30 million savings we announced out there, probably an estimate of, and I’ll say, around $5 million, 20% of that $30 million would be a good gauge to use.
Luke Folta – Jefferies: $5 million of the $30 million will impact the IM segment? I would have thought it would have been more. But because the corporate actions that you made out, I thought it would have been a greater allocation towards the IM segment just given it’s bigger.
Joel Hawthorne: Yes, it’s the direct. The corporate allocation would be different. We said we were going to save about $30 million which 75% relates to overhead and 25% relates to cost of goods sold.
Luke Folta – Jefferies: Okay. But in the segment reporting format, that would both be included in the –
Joel Hawthorne: Both would be included, yes. So then you go to the allocation of the remaining corporate which you roughly you could use on a percentage of sales –
Luke Folta – Jefferies: Okay.
Joel Hawthorne: – on allocation.
Luke Folta – Jefferies: Got you. Okay. And I guess second question on the guidance for the year. It didn’t remain there [ph], the range, which keeps the door pretty open in terms of some volatility in the fourth quarter. As you see things today, can you just give us the sort of directional segment outlook 3Q to 4Q just some of the moving parts?
Joel Hawthorne: Yes, when you look as far as IM and as you said, we came out with $2 million in 3Q, you just mentioned you could add the $2 million at Seadrift to that. That gets you to $4 million. Sequentially again as we said, volume from Q3 to Q4, we saw reductions in Q3. As we said in year-over-year, that was about a 5% reduction. Volume going into 4Q will probably be similar to what we saw in Q3. So volume, what we’re seeing right now will be flat. Price. On the price front, we said that year-over-year we’re down 8% in Q3. Year-to-date, we’re down about 11%. That implies the price going into fourth quarter will also be very similar to 3Q. And our cost as I said, the only impact again on cost is the inventory flowthrough. There may be a little bit of impact pick up on that, but I’d say not major, just a little.
Luke Folta – Jefferies: Okay. And then ES, I mean there was the project launch issue. I actually would have thought that there’d be a bigger loss in that in the third quarter. Do you stand by your full year guidance previously that EBIT should basically breakeven in the full year there?
Joel Hawthorne: Yes. We stand by that. Again, the ES team did a great job reacting on the cost containment as I mentioned and made up decisions and move quickly and reacted to take costs out of the system and again, did a good job. And from my view, we were a little better than what we would have thought in 3Q on ES segment. But we still stand by that for the year because again and approximately as we said in the third quarter, there are some sales related to the customer that went bankrupt, that obviously won’t repeat fourth quarter. So you’ll see a little pressure from that.
Luke Folta – Jefferies: Okay. Are you able to talk about what the annual sales to that customer have been?
Joel Hawthorne: Yes. The annual sales, we disclosed are about $17 million annually and in the 3Q, it’s about $4 million.
Luke Folta – Jefferies: Okay. All right. Just last one and I’ll back in the line. But in terms of Seadrift heading into next year, can you give us some sense? Are you seeing – when we look at the oil price move, we don’t have as much visibility as to what the trends are in decant. I mean is it reasonable to suspect that decant prices have moved similarly to what we’re seeing in crude oil prices?
Joel Hawthorne: Yes, that’s a very good, reasonable assumption that decant moves in sync with what you see at oil. The relationship is similar.
Luke Folta – Jefferies: Okay. So there’s a situation next year where even decant [ph] prices were to fall by some amount, but it doesn’t necessarily mean that it’s directed to profit. You could see some spread – maybe even spread expansion if anything else of the prices move.
Joel Hawthorne: Right, exactly. And that’s why some of the comment, we’re watching closely oil prices and the impact that would have on input cost going to 2015.
Luke Folta – Jefferies: Okay. Thanks, Joel.
Joel Hawthorne: Yes. No problem, Luke. Thanks.
Operator: Your next question comes from Edward Marshall at Sidoti & Company.
Edward Marshall – Sidoti & Company: Good morning. So when you mentioned material cost headwinds in the quarter, were you referring to input materials or were you referring to the graphite electrode themselves?
Joel Hawthorne: Yes, I’m trying to think to the bit [ph] where I said material –
Edward Marshall – Sidoti & Company: Yes, you just said it in a response to Luke’s question.
Joel Hawthorne: Oh, we’re following up [ph] going forward beyond this year.
Edward Marshall – Sidoti & Company: Okay.
Joel Hawthorne: And headwind cost was on the GE inventory flowthrough from the first half that were higher cost than what we’ll see here in the second half.
Edward Marshall – Sidoti & Company: Okay, okay.
Joel Hawthorne: Yes.
Edward Marshall – Sidoti & Company: I mean, we go through this exercise every year on price and we kind of get an indication sometime in August to September and on this call we get kind of an idea where pricing is going to go. You said you had a few orders already but you didn’t kind of talk about maybe what the size of the book is and how you’re trending to the completion of that book prior to year end and into next year. Can you kind of give us a sense as to where we stand as far as the percentage of completion as we’ve done in prior years?
Joel Hawthorne: Yes, at this time of the year, we really don’t have a good percentage of completion. As I said in the comments, it is only a few small customers at this point that we have concluded with. I think what I said in the past is typically the order book season, if it begins early, which means that demand is stronger, it begins early – you see it begin early in September, October time period. When it’s softening, which we reported that with our shipments inside out, the book-building season gets pushed as the customer has inventories work through it. And that’s kind of what we’re seeing, Ed, is the book-building season is being pushed out and really not getting engaged here until probably November, December, January.
Edward Marshall – Sidoti & Company: So what level of confidence does that give you surrounding kind of what your anticipation is or at least what you’re asking for as far as price for next year?
Joel Hawthorne: Too early to tell. As I said, we’re notifying our customers. We’re looking at a 10% price increase that’s based on cost inputs, markets, demand and supply. And that’s what we’re looking for. Too early to tell how it goes.
Edward Marshall – Sidoti & Company: And as far as the focus of pricing, I mean I understand it’s traditionally been global. Is there any chance that that deviates from that range as a potential for some kind of regional shift, a regional focus or anything along those lines or what that –
Joel Hawthorne: I mean, in our world, you have nine global competitors outside that are pretty global and compete in pretty much every region. You don’t see a regional price – we get disparity of regional price into the currency, given [ph] that, but overall it’s a global market.
Edward Marshall – Sidoti & Company: Now, Luke was kind of alluding to this and I guess I’ll extrapolate a little bit. But you have a wide range for Q4 based on the guidance as far as where EBIT and EBITDA might fall. And I imagine IM’s pretty set for the year on giving kind of the length of lead times and so forth. So I’m curious as to what might be going into the wide range and why you decided not to kind of adjust that or narrow that range as we move into the fourth quarter. I mean, are you preparing for any kind of changes with maybe delays due to the restructuring or anything along those lines? Kind of help me out with that.
Joel Hawthorne: Yes. No, Ed, our thinking was, like I said in the comments, we’ll look at how we guide going forward in February on a broader scale. We just felt comfortable with what we came up with September from a yearend range. We’re very comfortable with that range we provided and felt no reason to change the range, either tightening it or changing it. So I won’t read anymore into other than we’re just comfortable with the range that we’ve provided in September.
Edward Marshall – Sidoti & Company: Okay, fair enough. Thanks, guys.
Joel Hawthorne: Okay. Thanks, Ed.
Operator: Your next question comes from Phil Gibbs of KeyBanc Capital Markets.
Phil Gibbs – KeyBanc Capital Markets: Good morning, Joel.
Joel Hawthorne: Good morning, Phil.
Phil Gibbs – KeyBanc Capital Markets: I had a question on the capacity utilization. I think you talked about 85% or so for the electrode business in the fourth quarter. What are you targeting for 2015 as far as your capacity utilization?
Joel Hawthorne: Yes, again, it’s too early to tell. We’ll target based on when the order book comes to a better completion so we have an idea of what that looks like. Then we’ll determine how we utilize our operating rates. The key thing to determine now obviously is going to be where the book ends up. And we still want to reduce our inventory levels. So as I mentioned, one of our key initiative is to bring inventory out of the balance sheet not only this year but in 2015. So two factors will gauge in determining final operating rates for 2015 is where the order book comes in, our total demand profile that we’ll supply to and then obviously, how much inventory we want to reduce. And it is too early to tell.
Phil Gibbs – KeyBanc Capital Markets: Okay. Could you give us a sense of what the year-to-date utilization has been at Seadrift and what – because I think you had given a high level in the fourth quarter, but what has it been year-to-date because I know you said you had this idler [ph] outage in the third quarter, so I’m just trying to gauge where it’s been and how it’s trying to –
Joel Hawthorne: Got it, Phil. Actually, Q3 we ran at just below 90%, so 88%, 89% in that range for Q3. And as you mentioned, we had an unexpected outage in Q3. If you look at the full year expect that 2014 – as I said, Q4 we expect to run over 90% or, in essence, full. So the full year average will be somewhere around 95%, call it.
Phil Gibbs – KeyBanc Capital Markets: That was even with – I think you guys took some capacity downtime, right, on the second quarter?
Joel Hawthorne: You got it. And we adjust our effective capacity for that, right, that algorithm [ph].
Phil Gibbs – KeyBanc Capital Markets: I just meant inclusive of all of that because that’s your capacity and your run time. I was just curious as to what your production was for the year.
Joel Hawthorne: We got you. Seriously, when you look at it, that outage was about a 45-day outage.
Phil Gibbs – KeyBanc Capital Markets: Okay.
Joel Hawthorne: You take our publicly stated capacity of around 140,000 tons, that tells you – so that’s 45 days what would come out and then you can recalculate what the utilization rate is.
Phil Gibbs – KeyBanc Capital Markets: So that was on the second quarter or the third quarter?
Joel Hawthorne: Second quarter, 2Q.
Phil Gibbs – KeyBanc Capital Markets: Okay. 2Q, okay. And then the one that you took in the third quarter was less than 45, it may have been a couple weeks or something?
Joel Hawthorne: Three weeks, three weeks.
Phil Gibbs – KeyBanc Capital Markets: Okay.
Joel Hawthorne: Three to two, yes.
Phil Gibbs – KeyBanc Capital Markets: And then as far as the Showa Denko capacity expansion in the U.S. in the Carolinas, were they a competitor for business in 2014 or is that more of a new competitor for 2015?
Joel Hawthorne: Well, you’d have to ask them what their plan is for the capacity. But from what I see on the outside is that that new capacity has not started up yet. And everything we see is that the expansion of the existing facility will probably hit the market in 2015. But you’d have to ask them directly what their plan is.
Phil Gibbs – KeyBanc Capital Markets: Okay. No, I was just curious as to what they were, if they –
Joel Hawthorne: Yes.
Phil Gibbs – KeyBanc Capital Markets: I didn’t know if they were running yet, so I appreciate that.
Joel Hawthorne: Yes.
Phil Gibbs – KeyBanc Capital Markets: Thanks a lot, guys.
Joel Hawthorne: Yes, no problem, Phil.
Operator: (Operator instructions) Your next question comes from Charles Bradford of Bradford Research.
Joel Hawthorne: Hey, Chuck. Good morning.
Charles Bradford – Bradford Research, Inc.: Hi, I just wanted to make or at least clarify that capacity utilization you were talking about, that 85%, that’s as of the new capacity figure, is that correct?
Joel Hawthorne: Correct. Correct, Chuck.
Charles Bradford – Bradford Research, Inc.: Okay. Have you seen any pre-selling by Showa Denko with their capacity coming on next year?
Joel Hawthorne: Again, what we see in the marketplace is that all the competitors looking ahead to 2015 are starting to engage in the book-building process. If it’s again – so I see on a global basis every competitor in the business that we’re currently working on and of course they’re a part of that, so I would think they would obviously factor that into their thinking when they’re bidding next year. But again, you’d have to ask them directly. I’m just speculating.
Charles Bradford – Bradford Research, Inc.: Yes. As far as needle coke is concerned, will the price of decant likely to be pretty significantly lower? Do you have any kind of a guesstimate of what your needle coke pricing might be for next year?
Joel Hawthorne: Yes. No thoughts on that yet based on the volatility you’re seeing in decant oil. Again, based on where we were in the book-building process, our objective was to raise price 10% for our key input in needle coke and graphite electrodes. Obviously, as it changes, we’ll continue to watch that and monitor what impact it has on needle coke pricing and obviously on graphite electrodes.
Charles Bradford – Bradford Research, Inc.: Okay. Thank you very much.
Joel Hawthorne: Yes. Thanks, Chuck. Good. Paula? There’s no further questions?
Operator: There are no further questions at this time.
Joel Hawthorne: Perfect. Thanks, Paula. Let me just conclude by saying thanks to all the 2,600 teammates here at GrafTech for what they do on a daily basis and what they contribute to make our company successful. We have an incredibly resilient team that gets the job done in the toughest environments. And my thanks goes to them. Thanks everyone else for your time, questions and interest in GrafTech. I look forward to updating all of you after the fourth quarter. Have a great day. Thanks.